Fleetwood Grobler: Good day and a very warm welcome to our FY21 Interim Results Call. Thank you for joining us. I hope you and your loved ones are keeping safe being at these unprecedented times. And today joined by Paul Victor, our Chief Financial Officer; and Members of our Group Executive. I would like to point out that our results for the six-month period ending 31 December 2020 was published on our website earlier this morning For the purposes of this conference call we will highlight the key salient features only. For the reporting period, COVID-19 continued to have a material impact on the macroeconomic environment and market demand. We also had to contend with the operational disruption caused by significant weather events in the U.S. Gulf Coast. Despite these challenges, Team Sasol demonstrated remarkable resilience by stabilizing the business and achieving a first-rate performance on our comprehensive response plan. Having already banked more than US$1 billion in cash conservation in our last financial year, we are well on track to deliver in excess of a further US$1 billion in this financial year, all without compromising safety, compliance or asset integrity. As a result normalized cash fixed costs were 10% lower against the prior period. And our capital expenditure of ZAR 8 billion was 65% lower. Our working capital ratio was 14.9% compared to 14.6% for the prior period. The significant progress on our asset divestment program as well as more encouraging macroeconomic outlook has mitigated the need for us to do the rights issue. It is also most heartening to report that we had no workplace fatalities for the first six months of the year, and are pleased with the positive trade we see in respect of decline in high severity injuries and process safety incidents. We remain committed to reduce the impact of the global COVID-19 pandemic on our employees and operations. We have therefore taken a number of exceptional measures resulting in infection rates among our employees remaining below those of our regional fence line communities. Against this backdrop of significant global downturn and market volatility, Team Sasol will manage to deliver a strong overall operational performance. To highlight some of our operational performances; Secunda Synfuels Operations production volumes were 1% higher, compared to the prior period and ORYX GTL achieved a utilization rate above 100% in November and December 2020, as both trains reached full operational capacity. I am pleased to announce that subsequent to the LDPE unit reaching beneficial operation in November last year, the necessary licensor performance test runs, have been successfully completed. This brought the LCCP to 100% completion, fully operational and ramping up as planned. Following the announcement of our joint venture with LyondellBasell in October last year, the Louisiana Integrated Polyethylene joint venture came into effect on 1 December 2020. Our North American Operations achieved 5% higher production volumes for the period, with the ramp-up of new assets unfortunately constrained by both Hurricanes Laura and Delta. You may ask what the impact of the recent extreme weather events in the Gulf Coast was, and I can report that after most units being down the past week, start-up operations commenced over the weekend and we hope that in the next seven to 10 or 14 days we could be back online. Looking at our business performance, our base chemicals sales volumes improved considerably, with a 9% increase in sales supported by increased demand. Despite softer market conditions precipitated by COVID-19 restrictions, notably in the automotive industry, performance chemicals sales were only 3% lower. We recorded 11% lower liquid fuels sales, in our Energy business as a result of the COVID-19 impact on transportation fuels, with jet fuel demand, remaining under pressure. Turning now to our expanded and accelerated asset divestment program. We have progressed divestments to the value of US$3.3 billion since March 2020 and I am confident that we will receive up to US$3.8 billion of divestment proceeds by December 2021. These divestments allowed us to take a very significant step forward in deleveraging our balance sheet. Further updates on other disposals will be provided as and when appropriate. Central to Future Sasol and our strategy is progressing towards a holistic climate change response. We are pleased to share that our plans to deliver on our 10% greenhouse gas reduction target, for our South African operations by 2030, is progressing well. Work is currently underway for the 2030 road maps for our U.S. and Eurasian operations. Partnerships will be essential in our decarbonization ambitions, not just for Sasol, but also to enable South Africa's energy transition. We have already strengthened our existing partnership with Air Liquide to further reduce our greenhouse gas emissions at our Secunda operations. In addition, Sasol and Air Liquide will collaborate in the procurement of renewable energy. Together, we will procure 900 megawatts of renewable energy by 2030 in our Secunda complex, significantly increased from Sasol's original 600-megawatt from it. Gas feedstock transition is also progressing with final investment decision approved for the production sharing agreement license area development in Mozambique. This project will entail Mozambique in-country monetization of gas through a 450-megawatt gas-fired power plant and an LPG facility. The balance of the gas produced will be exported to South Africa to address the near-term decline in our Pande-Temane gas fields and sustain our operations. We are moving with speed to make the chemicals and energy business much more effective by critically assessing them against the best-in-class and introducing changes where there are opportunities to do so. As we look forward, the pathway to a sustainable balance sheet, balanced capital allocation and resumption of dividends looks increasingly within our grasp. But for now, we need to take one step at a time. I will now hand over to Paul to discuss the balance sheet and decision on the rights issue in greater detail.
Paul Victor: Good afternoon, ladies and gentlemen. As Fleetwood said, this is really a strong set of results in the context of the headwinds we faced. It was the delivery on all of our response plan measures that really made the difference. Looking back to December 2020, I spoke to about the need to deleverage the balance sheet and the bold steps we are taking to improve our position. The objective back in March 2020 was to try and generate around $6 billion from the response plan. It was an ambitious plan, but as you now I can see, it looks like we are well on track and without the need to draw on the final step, mainly the rights issue. Our net debt-to-EBITDA ratio at the end of the period was 2.6 times, according to the bank definition, which is well below the covenant of 4.0 times agreeing with our banking group. Additionally, our free cash flow has significantly improved, and we have reached a cash flow inflection point in the first half. Looking forward to also quite positive with our cash flow rates, which we will speak to at prevailing macroeconomic rates. We are also well positioned to take advantage on the positive impacts at the current rate with regards to remaining six months of financial 2021 results. This will also have a very positive impact on managing the debt levels down. Turning now to the key decision criteria for the rights issue that was set out in our Investor Update back in December. We set six main criteria for the decision. And the first one, obviously, was the confidence in us meeting and beating the covenant level of 3 times by June 2021. In fact, we were able to significantly exceed our own expectation by achieving this milestone down in December 2020, although we were helped by the translation of the U.S. dollar-denominated debt as a result of the close – stronger closing exchange rate. Nevertheless, with a healthy safety margin by December, a strong run rate during the year, especially in the last six months and the downside protection in place as a result of our hedging program, we are highly confident on our side that things will improve towards June 2021. Our liquidity position has also improved considerably with our position now remaining quite strong right through this very challenging time. We'll continue to actively manage the liquidity as we've done thus far and also primarily now focus on our debt maturity profile over the next few years. In terms of the outlook, the other key factor is the Sasol 2.0 program and also the confidence remained quite high that we will accelerate and deliver on those results. We're still very early in the program, but as Fleetwood said earlier, there is good traction to see the gains really start coming through in this year and especially in the next financial year. The next factor, I think also the asset divestments, and we've already talked about those and the great progress that we've made so far. So a little more to do until the end of the calendar year, but so far, so very good. It's also important to mention that after June, we do not expect the additional contribution, our asset divestments will decline significantly as we move back and settle into our usual ongoing business portfolio. The final factor to consider is the macroeconomic outlook, and this is probably the area in which we have the most concern given the unprecedented circumstances over the past couple of months. However, given the positive momentum, the downside protection that we have in place to withstand the volatility and even more cost competitive base on which we operate really gives us the confidence that the actions we've taken are sufficient to mitigate the need for a rights issue. In conclusion, we will, of course, continue to monitor the situation quite closely. But at this stage, I'm really delighted that we can focus all our attention now on delivering Sasol 2.0, and our ambitions with that and focus on our core strategic objectives. Thank you, and we can now open the call for the questions-and-answer session.
Operator: [Operator Instructions] The first question comes from Goth Barry at Netgroup. And it goes around, to please provide further color on the large increase in working capital, higher receivables and lower payables during the period? And what can we expect, can we expect this to unwind in the short-term? That's the first question for Paul? The second question goes around cash fixed costs in the second half, and into FY 2022, doesn't this guidance of cash fixed cost with – in inflation in FY 2021 imply a big step-up, given that cash fixed costs were down 10% in the first half. That question comes from Chris Nicholson at RMB.
Paul Victor: Goth, thanks for the question. So firstly, let's look at the trend of working capital. And as you will see in our Analyst Book, our working capital trend since 2019 has been around about 14%. At the end of this – at the previous financial year, it did drop to 12.5%. So what that manage us to get to 12.5% was due to the fact that the government in South Africa did give us a special dispensation in deferring some of the payments, especially on duty-at-source. And those are quite significant payments. So around about ZAR 3 billion to ZAR 4 billion per month, and the government did allow us to pay those two months later than the due date. So we had that rollover impact from June to July. And effectively, you will see that impact on working capital. The second issue is there also as we dispose of our assets, all of our assets held for sale as they've also kind of shown as current. And if you look in absolute terms, our working capital is actually 13.7% taking that into account. So we do believe that longer-term, our absolute working capital range for the company should be between 13% and 14%. And we have seen over the past reporting periods, how we diligently drive it down to those 14% levels. At this point in time, it did create normally during the past six months that we had that rollover of the regulator's approval on that. And then also, what you will see is, as we completed the LCCP that the capital accruals also started to come down as we settle those payments. I think looking forward, in the next six months, things looks much more stable, less of those kind of movements. And we are forecasting more around about a 14% working capital to turn over dispensation towards the end of the year, it then answers your question. So it did cause some kind of disproportionate allocation to payables in the first six months, but nothing untoward in the way that we're effectively managing our working capital. To the second point, Chris, hope you're well. We ultimately had an excellent value in terms of cash fixed cost for the first six months to the point that our normalized cash fixed cost did decrease by 10%. Looking at the next six months, one can distort the picture a bit is that a lot of what you've taken into account in our absolute guidance to the market is the pay out of the severance packages and termination packages as a result of Sasol 2.0. So that ultimately, from a cash flow perspective will be reflected in the number as well as the ECRs that gets provided for at the end of the year. So that in itself caused a kind of imbalance between savings for the first six months versus the second six months. But I can assure you that all the baseline improvements in maintenance costs, in labor costs, in other services and cash fixed cost, those run rates will continue, maybe we are a bit conservative in our guidance, and you can read into that maybe as much as you want, but we feel quite hopeful that we will definitely all in all include our cash fixed cost well below $60 billion as an absolute – sorry ZAR 60 million as an absolute number for cash fixed cost for the year, inclusive of those items.
Operator: Thank you, Paul. The next question is also for you. The question is, could you please provide some more – some indication of the exit rate profitability for Base Chemicals and the Energy business. That comes from Thomas Wrigglesworth at Citi.
Paul Victor: Thomas, that will be a very hard question to answer at this point in time. I think what we will try to do is as we optimize and finalize our targets on Sasol 2.0, we will be able to provide you that guidance during the end of the year on year-end guidance out in terms of what we expect from the business, most notably in terms of Chemicals and Energy. I think safe to say at today's run rate the end-to-end process sits at close to ZAR 1,000 a barrel, and those do change on a daily basis. We planned – our planning again is more towards the ZAR 700 a barrel. So we have seen in January that our EBITDA run rate, especially in the Base Chemical, also the Performance Chemicals as well as in the energy business, has stepped up quite considerably in terms of what we've seen in October, November, December. So our current run rates indicate a very strong EBITDA performance in the next couple of months as a contribution of Sasol 2.0 as well as the contribution off of better macroeconomics. So the second half will be better as long as this continues. But towards the end of the year, when we put the outlook out, we'll rather give you a better sense of where the actual run numbers are going to be in a $45 world for Sasol 2.0 for the following year.
Operator: Thank you, Paul. The next question is around what, if any, is the financial impact from the current cold snap in Texas? How long will it take for production levels to normalize? And this question comes from Thomas again at Citi. We're going to ask Brad to answer that, please.
Brad Griffith: Thomas, thanks for the question. Yes, we did see an extended cold snap, really low temperatures that we haven't seen in decades in Texas and Louisiana. So as Fleetwood mentioned earlier, we did successfully keep our crackers running, including the JV cracker over that period, but we are still working to restore operations for the derivative plants. And as Fleetwood said, we expect that to take place over the next seven to 10 days for some of the plants but maybe more over the 10 to 14 days for some of the more complex units where we do face challenges, trying to get them warmed up and assessed for any damages. So it's too early to give indications on the financial impact. And – but we do expect to see production restored in the next 10 days or so.
Operator: Thank you, Brad. The next question, perhaps you can also assist with please. Can you please provide an update of the impact on the cold weather, you've already addressed that. I think the next question is for Fleetwood around Mozambique LNG. And the question is, will that be fully covered within the ZAR 20 billion to ZAR 25 billion CapEx program over the next few years? And how long does it extend the plateau production for, that's from Henri Patricot at UBS.
Fleetwood Grobler: Henri, thanks for the question. I think Brad covered sufficiently the LCCT operations impact now with the cold weather. With respect to the Mozambique LNG, I think the short answer to that is, yes, we have factored in this capital project in terms of our range that we've provided. And of course that plays out over the next three, four years, and it's included in the guidance. So in the second part of your question, you referred to the point around how long does it extend the plateau production for. So in our estimation, well, firstly, if we start there, there are a number of other measures we are taking to extend the plateau. We are currently busy with the infill well drilling. That well drilling will continue with over the next couple of years, and we believe that will have a positive impact on extending the plateau. In addition to that, the PSA would at least give us another three years of extension of that plateau. So I believe that gives us a sight of the 2030 before the plateau then starts to kick in. So that is our best estimation. And of course, this is all based on a mid-case of our gas – the gas assumptions rather instead of any other extreme side of the reservoir potential.
Operator: Thank you, Fleetwood. The next question from Gerhard Engelbrecht at Chronux Research. Can you talk about prices in Performance Chemicals? And are you seeing higher prices for your products? Can you identify weak market segments? And can you divert products from weaker segments into stronger segments?
Fleetwood Grobler: So thank you, Gerhard, for that question. I'm going to ask that Brad just to comment on the more essential care part of the business. We are currently seeing that there is price expansion in terms of our margin than per se in our mid-cut alcohol range, and that is primarily driven by PKO that is – that has increased in pricing over the last months already. So yes, there we are seeing price increases. We, to some extent, can focus on more profitable segments in terms of the demand as it returns specifically in our performance products area. And so that is a part and parcel of how we would look at it. The softer market segment at the moment is more in automotive. And I believe that as that returns, we believe also that we will see stronger demand and therefore, stronger offtakes in the pricing. Brad is there anything there that you would like to add.
Brad Griffith: Yes, Fleetwood, I think you covered it. The essential care space, I mean, we're seeing continued very strong demand in the areas of detergents, home care, fabric care, personal care products. I think we are seeing prices buoyant, as you said, from the oil and natural oil prices. At the same time, we at Sasol are working to make sure that we can restore our production following the hurricanes, the freeze impact, et cetera. So we're hopeful to be able to see that materialize then in the second half of the year.
Operator: Thank you, Brad and Fleetwood. The next set of questions is around financial EBITDA questions. I'll start with the first one for Paul. Can you please unpack the operating losses from LCCP and that comes from Bheki Mthethwa from Bateleur. Also a question from Alex Comer at JPMorgan. The second question is around how should we think about the time line to LCCP reaching steady state EBITDA? And the third question is how – what is the guidance for the LCCP, and do you provide in 2021 for the full year? And do you still believe Secunda's asset life is to 2050, that's also from Alex Comer.
Paul Victor: That's a mouthful of different questions. So let me tackle them one by one. So ultimately, we did tell the market that we are in future going to disclose Sasol North America as a segment after the disposal of the 25% stake as well as the HDPE units. So I'm not going to provide specific guidance from LCCP. But in terms of the core income earnings per share, we did give you an indication of how much that we adjusted for return earnings as a result of the losses that we experienced on the LCCP. I think what is quite important is that the LCCP complex or the North American complex has reached a point where all assets have now been completed and are being kind of geared up to reach full run rate. And I think that's where the whole issue is, how much is that. So we do anticipate that we will be generating much more cash flows and positive EBITDA's in the next six months as a result of the contribution of that investment. The prices in the U.S., for sure, look more positive. I think we have to keep a close eye on the spread between ethane and ethylene prices post kind of the hurricane and also now the Artic weather storm. At this point in time, we are not going to give specific guidance on the LCCP say, for the second half, but that it is effectively ramping up. We plan to run the plants at close to nameplate capacity on the PE side as well as kind of ramping up the ZAG units. And we do anticipate that those – the trajectory is towards a run rate of at least $30 million per month at current spot prices, should be achievable in the next couple of months. Then the question begs as when do we get to full run rate. So we do plan that in the next couple of months as we get to full production, and as ZAG units also kind of gets to their full anticipated production that the run rates that we envisage between financial 2022 and 2023 to come to fruition. We're still very much on that guidance, given the different price ranges between $0.25 and $0.30 that we said in the past as well as $850 per tonne LLDPE Northeast Asia price market for polyethylene that still – we can still move towards that $600 million to $750 million of EBITDA run rate, but we obviously will need to update that as the prices in the market gets updated, which happens quite regularly. I think this guidance needs to be caveated by the volatility in the market. I think we are quite nervous about the volatility in pricing. And if chemical prices maybe go down next year obviously you got to take this guidance, but this is kind of – we are – now the way we think about it. In terms of 2050, I think a very important question that you raised, Alex. At this point in time, based on our assumption of the future, still all being a contributor in some way or the other. There is no reason to believe that it will not include 2050. However, we are busy updating the strategy as far as the Capital Markets Day later this year. And how things then typically unfold in terms of how we want to utilize the assets in Secunda, what the time frame will be, that will weigh in terms of our 2050 assessment. But at this point in time, there's no reason to change again, and I thought we had finished the work on the strategy going forward in changing that decision.
Operator: Thank you, Paul. There are two questions from Adrian Hammond from SBG. The first one is what is the group's normalized sustaining CapEx? And the second one is around the U.S. CARES Act. So have we – have you received any funds you provided for relating to the U.S. CARES Act regarding special dispensation for COVID?
Paul Victor: Hi Adrian, so basically, on the sustenance capital, obviously, this year, financial 2021, we have provided the guidance that our sustenance capital spend will be in the range of that 18 to 20, which is in partly in real terms and when compared to previous years, but that is because we have optimized the closing of doing the systemized pitstop shutdown in the previous year. So this year does give us a lower rate because of that deferral to the previous year, considerations will be this year as opposed to in the half. In terms of our guidance going forward, we are within the range that we set in Capital Markets Day of targeting between ZAR 20 billion, ZAR 25 billion of capital spend and mostly sustenance compliance and environmental capital. We have said that, that's the range in which we anticipate to execute our capital portfolio until 2025. So I think for now, we have to work on that. I think that will change to the better or to the higher, we will inform you in time, but both in our planning, that's what we believe we should be focusing on. And definitely, it followed our base case planning to include through that. Again, I want to reemphasize that the PSA development that we have announced today has been guided for in that specific estimate. The next question, yes, fortunately, we have received the amounts relating to the CARES Act. Those have been deposited in our bank account. And effectively that short-term debt or receivable has now been taken by the U.S. government.
Operator: Thank you, Paul. A question from Bheki Mthethwa at Bateleur Capital. How should we think about Node marketplace opportunity in terms of product placement? And if I could direct that one to Brad, please?
Brad Griffith: Sure. Thanks, Becky, for the question. We're very excited about our collaboration with Node, node.com. So this is a storefront marketplace opportunity for producers and sellers in the chemicals and related application space to really then make connection for sharing of information, gathering of technical data and product data, and really Node has an ambition to convert that into an actual marketplace for transactions. They're supported by a very strong investor base, including Sequoia Capital. And so we continue to develop our relationship with them. And if you take a look at Node.com and look at the Sasol storefront, you'll see thousands of products and applications and formulations and work that we're doing with our customers.
Operator: Thank you, Brad. The next question comes from Clarissa Westhuyzen at Fairtree. Please, could you provide a breakdown of the CapEx by ESG, carbon capture if its maintenance and growth, both in this half and over the next two years? I could ask Paul to answer that please.
Paul Victor: Clarissa, we have disclosure in our Analyst Book. I think we believe that we provided enough detail in terms of our various capital components, in terms of our sustenance capital. There, you can clearly see most of the capital is sustenance capital, a very small portion relates to growth capital. The growth capital is really detailed in spend of the LCCP as well as the small amounts that we spend in Canada. The reason is mostly in mining centers, and we do provide a breakdown for that. I think the level of detail here is a little bit too much for us to share with you on the project level in the market.
Operator: Thank you, Paul. The next theme is around asset divestments. I'll start with perhaps two questions in this category, given its strategic value to your gas supply from Mozambique. Is there a possibility that you would consider not divesting ROMPCO? That comes from Goth Barry at Netgroup. And the second question is, what other assets are for sale as per Slide 12 of the presentation, and that's from Adrian Hammond.
Fleetwood Grobler: Yes. Thank you, Goth. I think we are far down the road with the ROMPCO asset in terms of our dilution of shareholding. So I think we are definitely not going to now retract on the process that we have followed with diligence. We are not yet ready to make the announcement in terms of the details. That is going to be in the next month or three. It is far advanced in terms of the commercial discussions. And therefore, I don't want to preempt anything further. Suffice to say that the dilution of our ROMPCO shareholding is far progressed. Adrian, with respect to the assets as per Slide 12, I think you need to see that there are a number of asset reviews that we've looked in terms of our focused strategy. So they may be smaller, but I think we also not get ready to make any further detail available around those. So bear with us. I think we would announce those as and when appropriate, and once we've reached that point to share more details. So that is really still ongoing process. And as we said, we're coming basically to the end of our focused asset divestment program. And we hope that, that would be then turning by the end of the year in terms of our normal asset review that we will do as part and parcel of running the ongoing business.
Operator: Thank you, Fleetwood. The next question is what is the total amount of asset sales so far? And how much cash is already received from those asset sales? How much? And when will those proceeds be used to reduce gross debt. That comes from Alexandra Simonetti. And the second question is around what is the holdup in finalizing the ZAR 8.5 billion in divestment proceeds from the ASU. That comes from Wade Napier at Avior.
Paul Victor: Thanks for the questions Wade and Alexandra. So let me take us back to 2017 when we announced the asset disposal program. Since 2017, 2018, 2019 and 2021, we have banked, meaning, cash in bank in terms of concluded transactions close to $3 billion of assets. Obviously, most notably the two biggest asset sales were the LCCP disposal, the Gemini disposal but then also there are couple of other assets such as EGTL, the Huntsman joint venture, and the Malaysian joint venture of polyethylene that we sold. So since 2017, with the margins focused in financial 2021, we sold close to $3 billion of assets. Moving towards the end of this financial year and maybe slightly going longer, the next couple of assets will probably be in the vicinity of another $700 million to $800 million. And as we know the Secunda is used, which I will speak to just now, will probably make up the largest share thereof. But then we also have a couple of other smaller assets such as CTRG, our retail properties, the Gabon asset that falls in that grouping. So there's another which we believe are very highly – high chance, they are on our chart, P90 plus on banking – closing these deals, and that will take us to 3.7 – $3.8 billion in total. Then the next tranche of assets, as you know, the ROMPCOs and some of the others that we've identified that will then probably push us close to $4 billion and slightly there over. There's a couple of assets that we are still pushing in that direction with good marketing efforts behind them. So we still feel quite positive for all the assets that we identified as part of the asset disposal program that doesn't have a real 100% fit with our strategy and will improve our focus, that they do contribute quite significantly in getting their debt balance down, but also help the company to focus on its key strategic objectives. The second question then later is what's the holdup with ASU's. And I think sometimes you can be equally – hopefully appreciate our frustration that we've actually concluded the deal in America at a much more shorter space of time end-to-end compared to the ASU's. Unfortunately, we sit with some regulatory hurdles which we need to complete in terms of the Competition Commission as well as DTI in terms of making sure that we complete their requirements. I think we, between ourselves and Air Liquide we have reached now a point where we have made our final submissions to the DTI that will ultimately by legislation also informed the Competition Commission process and hopefully by the end of March, we will be in a position to close all of that out. So hopefully, not a long to go, couple of weeks still, but yes, we wanted to close this sometime back, but unfortunately, a little bit of hold up on that side. Nothing to be concerned about that, though. I think all parties will do all efforts to get us there over the line, the ASUs in March and then a few of the rest as much as possible before the end of June will slightly be after. So we've made good progress, and I feel quite comfortable that this will make a big significant difference in getting our debt balance down to $6 billion.
Operator: Thank you, Paul. The next set of questions around – is around the theme of our operational and LCCP? The first question being, please comment on the extended force majeure of the LCCP alcohols plants? That comes from Goth Barry at Netgroup, and if we could ask Brad to please answer this question.
Brad Griffith: Thanks for the question, Goth. Yes, Sasol regrets any time that we have to declare force majeure because it means that we've run into some form of operational or supply impact that requires us to work with our customers to allocate product. And with the nature of the extension of the force majeure for alcohols in the U.S. really goes back to the hurricane. So we were busy with ramp-up, technical ramp-up and operational ramp-up of the Ziegler Alcohols, Alumina, Guerbet plants. And those are more complex plants. That's why we've always described to you that the ramp-up plans for those are longer in nature. And because of the setbacks with the hurricanes and the need to get most of the other units prioritized, those alcohol plants have been longer in getting back to full stability. And we were really getting to that point when we got to the latest freeze that I commented on earlier. So we do hope to release the force majeure and the allocations within the next month or so, but it's too early for me to comment on the timing until we've got a chance to fully get the units back. Thanks.
Operator: Thanks, Brad. We received a question on lessons learned from LCCP. I'll read the question. And if I could ask Fleetwood and Paul to please jointly answer this. What lessons have the LCCP delays taught the management team? And does this mean they would be too conservative going forward? Or how has capital allocation decisions changed? That comes from Ricardo Michaels at Denker Capital.
Fleetwood Grobler: Thank you, Ricardo. I'll start off. I think the first item that we would like to clarify is that the project and the size of LCCP, we've already indicated in 2017 that for such a large project and such a high CapEx number, we would in future really not do that on our own, and we will seek the right partnerships to execute that. Then on the other hand, it is a very, very complex integrated technology array of plants that we also executed there in late June. So we have to take note that you have to make sure that you understand and get your mind around all the complexities that, that brings through the commissioning and start-up phase, which I think we have. The other item is the way that you would go about putting your project team together. And I must say we got it 100% right when we really put the project on a final execution and start-up track since February of 2019, and that worked well. And I think we delivered the project within the cost guidance, and we delivered the various commitments we've made. And so I think all of that, specifically, that last part, where we got it right. All of those would, of course, be incorporated. We have not only looked at the LCCP, we've looked at all the projects we've executed in the last five to 10 years, and we really took that to heart, brought into a program of all the learning’s, which we are now applying to all our capital projects that we would be executing. And we have actually started to apply it as of last year for more projects that we will be executing, including our clean fuels program as well as the PSA project that is ahead of us. So I think many lessons learned, but I think we also got good experience and learning's that we would incorporate going forward. On the capital allocation, I'm going to hand that to Paul.
Paul Victor: Thanks, Ricardo, for the question. So ultimately Fleetwood had explained why that we want to partner and manage risk on significant projects. And we have shaped that broadly in 2017 as well as we net invested in terms of what our thinking is about capital allocation. So first and foremost, in the way we fund ourselves now; will be especially to reduce the debt levels on the balance sheet and to spend more available money first towards assessing this capital. I think that is the priority until such time that the balance sheet then sufficiently delivers the minimum dividend incomes or pay the 36% payout ratio of dividends. And then thereafter, we will then balance the capital available between further dividends as well as growing the company. So at some point in time, a reinvestment in our future in terms of growth projects will be quite important, but I think we will be going in a way that we will be quite frugal about where we spend our money. We needed to make quite sure that the risk that we take and the delivery that we're going to achieve from the capital invested is aligned to our objectives in terms of capital returns. And that it will become more measured focused investments in partnerships with others to utilize a sufficient incremental growth rate for our business. We are not immediately going to jump into investment quite heavily in capital projects soon. So as I said, first priority sustenance, then second priority, our balance sheet debt, then dividends and in growth versus further dividends. So we're very much honoring what we've said here before.
Operator: Thank you, Paul. The next theme is around balance sheet management and the decision on the rights issue. I'm going to read maybe two questions at a time if that's okay. The first question, what are the required conditions to reinstate the dividend? Would you reinstate dividends in June if net debt-to-EBITDA drops below 2 times? And is there a chance that you could restart dividends before 2023, 2024, as guided in December. That comes from a number of participants on this call, Thomas Wrigglesworth at Citi, Adrian Hammond, Vladimir Dorokhov at AIG, and Sashank Lanka at BAML. The second question with a faster than expected recovery in the balance sheet, could you consider accelerating some of the initiatives required to achieve Sasol of the future, thinking of things like dividend, IG credit rating and value-accretive investments? That comes from Wade Napier at Avior.
Paul Victor: Thank you very much for the questions. I think all of them are absolutely at play at this point in time. So the fact that – let me just remind us of the fact that we haven't taken a decision to issue rights issue where it doesn't place us. It places us in a situation where we still need to pay a considerable amount of debt. So ultimately, our debt is sitting now slightly lower, as we speak, at $8 billion. And with the additional proceeds, as I've indicated from the rights issue as well as these other assets that we have been talking about, we will be targeting towards the end of the year to get in that range of $6 billion or slightly higher than that. That's the immediate focus, but it's still $6 billion of debt. So ultimately, at current run rates and ultimately at those debt levels, yes, the debt on the balance sheet will start to dip below 2 time's net debt-to-EBITDA. But I think where we find ourselves as the industry is that may still pose the upping of the risk. So we are currently looking at a range of 1.5 times to 2 times net debt-to-EBITDA, also looking at absolute debt levels and look a little bit farther down the line in terms of cash flows and how the balance sheet would ultimately deliver before we will reintroduce the dividend. So I think having said that, at current run rates, the pathway to deleverage balance sheet seems much quicker as well as the kind of the benefit of Sasol 2.0, but introducing the dividend needs to be sustained. And we will need to make a measured decision in terms of that. I think, quite importantly, and we will still introduce at the appropriate time when needed. In terms of the win, so ultimately, as I've said, if we work on the scenario of ZAR 1,000 a barrel, obviously, the trajectory getting much sooner than if you work on the trajectory of ZAR 800 a barrel. So I think the scenarios in which you model your cash flows and your balance sheet deleveraging and how much you get from your asset disposals will ultimately form that decision. At this point in time, we are not going to step into giving you an affirmative date of dividend, will be introduced by the end of the year or by the end of the calendar year. But we will use that criteria of a sustainable deal debt level below 2 time's net debt-to-EBITDA with absolute debt levels, quite manageable to absorb shocks as the critical guideline of reintroducing the dividend. However, we will not invest in growth projects at the expense of the dividend. So in our capital allocation sequence, I did explain to you that sustaining capital dividends didn't come. So we will not change that order. But give us time until the end of this year. You know that no dividends will be declared by the end of this financial year. I confirm we said that. There's no plan to do so. But as we start to navigate and move beyond that towards December, and we look at the condition of the balance sheet and when rights, we can then reconsider that decision. I think we really need to make sure that our balance sheet risk is at a debt level of such a nature that it can actually absorb future shocks because they may as well happen. And then ultimately, the second question is more a little bit different than that as kind of looking at dividends and then IG ratings as well as accretive basis. So I've spoken about dividends. Dividends, as I said, as a principle that will be paid when the balance sheet can afford it. If the balance sheet is in a decent risk level, it can be sustainable, that's the criteria. When it comes to IG rating, I think things get a little bit more difficult on the IG rating. Obviously, our focus and drive is to restore our investment growth rating. But I think one of the investors have asked me in the past at what cost. Meaning that if we land up in a situation where the South African sovereign is rated at two levels lower than investment grade, then the rating agencies or even us – we're going to restore our balance sheet risk not potentially take us to investment grade due to the fact that we have the South African exposure and the South African sovereign, as well as the industry is still kind of been seen as high risk and the Standard & Poor's did indicate that the sustainability aspect and how it will weigh into creating rating restrictions for oil and gas companies will be a key criteria going forward. So ultimately, what we will do is, we will try our best to be investment-grade rating in terms of the criteria of the rating agencies, in terms of how much cash flow we generate, how much debt we carry on the balance sheet, but it will also be subject to kind of this sovereign rating as well as the industry ratings. And within that, we need to navigate. It doesn't mean that if we aren't investment-grade that we will see significantly worse kind of borrowing rates. So to say, if we can get our house in order because I think future lenders will look in terms of how you can finance and service your debt. And we believe if we can make sure they are, we will still be able to have competitive rates and deliver a decent above average cost of capital. Typically, if I can just step back and see the last submitted question that is saying ultimately getting to value-accretive investments. So what better value-accretive investment as Sasol 2.0, very little capital, and NPV super high, but we also know in terms of utilizing further gross margin opportunities, the team has done great work to identify investment opportunities that take small amounts of growth capital with a quick payback and give us decent cash flows. Our immediate focus will be to go after those things. Also the organic improvements in the business, debottlenecking of assets as those opportunities exist. Those will be things that I think can be quite value creative. And as the balance sheet opens up, we will really start busy looking at those things to say what levers can we pull when the balance sheet allows us. So we have started to think about it already. We will not stop to think about it, the intended start, and when we will be more on the kind of offensive side as on the defensive side. But again, as I've said, honoring the capital allocation principles and balance sheet.
Operator: Thank you, Paul. A few more questions on the balance sheet management side of things. Now a question from Stella Cridge at Barclays. I see the availability of the $3.9 billion RCF will be falling in 2022 and 2023. What is the reason for this? And what is likely to happen to this facility at the maturity in 2024, could it be rolled over? The second question is, are there any circumstances which would cause Sasol to relook at a rights issue? And are there any significant debt maturities in the next 12 to 24 months? How will these be managed, from Peter Chromburg.
Paul Victor: Thanks for the questions. Yes, I mean, where we find ourselves now as – and we've said in the past many times that our debt maturity needs to be – needs to be smoothed out. We don't have immediate risk on our debt maturity in the next two years. We've got $1 billion bond by the end of next year, November that needs serviced. But we've already got the plans in place to see how do we address that. And with the cash flows, we don't see that as a risk of honoring that. When we negotiated the RCF, we had kind of 5 plus 2 or 5 plus 1 plus 1 scenario negotiated with the banks, where we will match it down to 3.9 to a kind of a more – a level of $2.8 billion and then effectively refinance the facility over the 5 plus 1 plus 1 years with something new, which can all be bank debt or can be in the form of longer-term fixed mature debt such as bonds. So ultimately, the – as part of the negotiations with the banks, that trajectory has been negotiated. Nothing untoward, that's how these facilities work that specifically has been in place for some time. And ultimately, as that kind of thing ranches down, we will then replace it with new instruments either in the form of floating as well as fixed which is a lot. That's just the way that you manage it. I will say that the 2023, 2024; 2025 period is specifically where our focus will go into now and we'll either go to the big markets over regular intervals, and then raise debt and refinance that debt or we will use our cash flows to do so. Then the conditions for right issue, I think we've done enough now to at least up to 2025, you kind of get the balance sheet to a decent space, again, getting the cash flows up. And I'm – and I think I know you think of it as well, is a right issue needs to pay a new purpose in the long-term sustainability of the business. Our shareholders do want to see what is the capital, what value it will bring. And in circumstances where you have an investment that you need shareholders to invest where it can really make a significant difference in the sustainability and returns for a company, which probably, if you do it only on the balance sheet, maybe too risky or too onerous, you can't [indiscernible] then, of course, one can discuss that with shareholders. But in the next foreseeable future at least something significantly untoward happens on the macroeconomic front, we don't see a scenario where we will get shareholders to raise capital just to sustain our business. Like I say, we can only approach shareholders where it makes sense and is part of the future of growing the business and add more reach which then makes sense for an investor to take that risk.
Operator: Thank you, Paul. Our last question. Is there – are there any covenants or further waivers we should be aware of? And how long to get to below 2.0 on the current glide, so that's from Jarrett Geldenhuys at Investec.
Paul Victor: So there's obviously smaller debt agreements that we have with our banks, typically not much debt that carries very unique requirements than most in terms of covenants. So most of our covenants are linked to the corporate 3 times net debt-to-EBITDA. So we manage it more broadly in terms of that. In terms of how long do we get to the 2 times, will hopefully very soon at current run rates, maybe just to give you an indication. As I've said, at the current run rates, our January EBITDA has been substantially more compared to what you've seen in November and December, and we expect February to be even better if we process it. At the current trajectory, it will not see change in the next eight months to 12 months to dip well below the 2 times covenant. But again, I say with a health warning of macros being at current levels. So anything above ZAR 900 a barrel for us in terms of macroeconomics will do us quite good in getting us to those levels indicated of 2 times and below over the foreseeable future.
Operator: Thank you, Paul. We have a follow-up question from Stella Cridge at Barclays. And perhaps if you could take this question and another one after that. The follow-up is, you've said there's already a plan in place to address the 2022 bond, what is it? And then if I could ask is to shed some light, what is the cost – what cost did you incur for carbon taxes? And what are the expectations going forward? And that comes from Mish-al Emeran at Abax.
Paul Victor: So in terms of the plans that we got in place, in terms of SEC rules, I'm not obliged to share those with you at this point in time. When we launch any debt issuance or refinancing or we decide actually just to use our cash flows 2.0 will update the market, and we do so from time to time. The Board obviously had approved our refinancing and debt maturity profile strategy, and within the confounds of that and the SEC rules, we will make the next few announcements in due course. But you can take comfort that we've got a really robust plan behind us. We have missed one or two windows as a result of the late issuance of results and the market volatility that we experienced over the past couple of months but having not that debt, I think our debt maturities would have been in a better state than what it is currently, nothing to panic about at this point in time. So we are definitely now kind of focused on paying a lot of attention on that. In terms of our carbon taxes, so with the carbon taxes being introduced we still roughly be in terms of the – just slightly over ZAR 1 billion of carbon taxes on an annualized basis. And that's what we've built into our modeling. Obviously, its tax deductible, so after tax number around about ZAR 700 million on an annualized basis.
Operator: Thank you, Paul. I think if we could move over to the next set of questions around our PSA FID approval. The first question is, could you provide further detail on the amount of surplus gas you expect to be available for export into South Africa from the PSA? That comes from Chris Nicholson. The second question, what annual production rate are you looking for oil in Mozambique in 2024 and at what breakeven costs? That's from Adrian Hammond. If we could please ask Priscillah to answer these questions.
Priscillah Mabelane: Good afternoon, colleagues. Hope you're all well. In terms of the first question, in terms of the excess gas that we expect to bring back into South Africa, we are looking at 292 BCF. And as Fleetwood mentioned, this is actually based on our midpoint probabilistic use in the – there are different scenarios that we're also looking at, which is likely to increase that going forward.
Operator: Priscillah, the second question around oil production rates in 2024 and breakeven costs, if you could also address that one, please.
Priscillah Mabelane: Oil as part of the PSA, I'm assuming when you say 2024, is what is actually you are referring into. So for us, this is such a residual value of the PSA agreement, we are in total expecting about 2 million barrels of light oil starting back in 2024 for the duration of the development.
Operator: Thank you, Priscillah. I have the next question, the new guided range of gas and oil reserves in Mozambique, are they much different from the previous estimates you had previously signed reserve estimates were at the bottom of the expected ranges. Is there any new information here? From Gerhard Engelbrecht of Chronux.
Fleetwood Grobler: Thank you, Gerhard. I think we have started this project already in the time frame of 2014, 2016. We had an initial fuel development plan for the PSA, which was submitted. And of course, we did some further exploration drilling to validate the commercial sort of outcome of what we had in the first field development plan. That actually informed us that the volumes that we targeted in the first development plan were much higher than we could commercially check with the additional wells that we drilled. And therefore, we have resubmitted the fuel development plan that now calibrates to the ranges that we've given and which was substantiated with our wells that we drilled as well as the seismic work that we've done. So these ranges that we give now and the values are what we validated with normal preproduction estimates that we could do on the well drilling and with the seismic interpretation.
Operator: Thank you, Fleetwood. There are some questions on some of the themes we've already covered, so I'm going to just go back a little bit. Another question from Gerhard. Are there projects excluded from the longer-term CapEx projections such as sulfur emissions, mitigation and Natref Clean Fuels? Paul, perhaps if you'll answer that please.
Paul Victor: Thanks, Gerhard. So ultimately, we've always said that Natref Clean Fuels CapEx is more of our 2025 volume-led capital assessment. The Clean Fuels work at Secunda is we are looking to in that respect. We still in our due diligence, busy valuating, which pathway to do – to define things dealing with an Natref asset. Meaning that we are – if we are willing to invest in margin what return it will bring for us or going to put us or that we actually want to continue holding the assets, yes or no. We will probably in the next couple of months, need to make that decision because we cannot delay it inevitably and there is enough crisis behind that. So that portion is now concluded. In terms of our compliance, in terms of clean air, and where we have agreed with the environmental affairs and how to deal with us getting into the climate conditions about capital projects that were included in that. There's one area that we still need to do more work on, but now for most of other areas we [indiscernible] those capital instruments will also be incorporated in our 2025 capital raise.
Operator: Thank you, Paul. We have a question. You cut 2,176 jobs. How many more are set to go, from Alex Comer.
Fleetwood Grobler: Thank you, Alex. First of all, need to just put in perspective what's the movement in numbers. So we transferred about 1,000 employees out of our Base Chemicals to our NOx joint venture in the last calendar year. We also, in December, transferred about 400 people out of our U.S. operations into the new LIP joint venture. And over the past period, we also had a normal turnover, and we didn't fill vacancies with the advent of our cash conservation program and crisis response plan. That was also in the region of just over 500 positions. So you would see that the numbers quickly adds up. What we have shared with you in the December investor update is that we do target a range of cash fixed cost savings in the region of ZAR 8 billion to ZAR 10 billion. Of course, there are no numbers that we have set specifically for job cuts. We are in negotiations and engagement with all our labor entities across the globe. So that is due consultation that would be ongoing. But we have, however, the majority of the cost that we will be able to deliver is not necessarily on labor, but on many other aspects, as, for example, as we said, how we procure, how we go about to run our normal operations and maintenance and how we do that more efficiently and many other aspects compared to just only focusing on the job number. So I think that is part and parcel of our Sasol 2.0 approach, and that we will deliver on that as planned.
Operator: Thank you, Fleetwood. The last question that we received. Could you please indicate the length of the off-take agreement, which will apply when you sell the Air separation units? From Clarissa van der Westhuyzen at Fairtree.
Paul Victor: 15 years, one-five.
Operator: Thank you, Paul. I see there are no more questions coming through the platform. If there are any further questions, we'll give you a minute or two just to submit them. If nothing is received, we'll then close the call. Thank you very much, everybody, for your time and listening to the Q&A this afternoon. With that, I will now close the call.
Paul Victor: Thank you, everyone. See you next time. Bye-bye.